Operator: Good morning, everyone and thank you for joining us today for Heineken's 2016 Full-Year Results. [Operator Instructions] At this time, I would like to turn the conference over to Heineken management and Investor Relations. Please go ahead.
Sonya Ghobrial: Thank you. Good morning, everyone. Thank you for joining us. I'm joined today by Jean-Francois van Boxmeer, our CEO; and Laurence Debroux, CFO for today’s conference call. Following some prepared remarks on the 2016 full year results, we will be happy to take your question. With that, I'd like to hand over the call to Jean-Francois.
Jean-Francois van Boxmeer: Good morning. Thank you, Sonya and good morning everyone. Sorry for me being late that since the introduction text is shorter I think we can catch up. If you turn to our presentation to Slide 3, let me start by saying that our full year 2016 results were strong, led by the outperformance of our premium brand portfolio and sustained momentum from our innovation agenda. The benefit of our balanced footprint was very clear, enabling us to deliver more than 50 basis points operating margin expansion. This was despite more challenging economic conditions in some developing markets and significant currency pressure. Revenue grew 4.8% organically, with positive volume and revenue per hectolitre growth. The Heineken brand volume in the premium segment was up 3.7%. This top line growth combined with the continued focus on costs delivered operating profit (beia) up 9.9% organically with margins increasing 54 basis points. Diluted EPS (beia) again was up 2.9%, mainly driven by organic growth and partially offset by currency headwinds. For 2017, excluding major unforeseen macro economic and political developments as well as the impact of the proposed acquisitions in Brazil and in the UK, we expect to deliver margin expansion in line with our prior medium-term guidance. I should also mention that you will see on this slide a footnote relating to an accounting adjustment, and this had no impact on operating profit and Laurence will provide some color on this shortly. Turning to Slide 4, our results clearly demonstrate that Heineken's unique and diversified footprint is delivering strong balanced growth. Most markets delivered good growth offsetting some of the weakness in Africa, Middle East and Eastern Europe. Let me start on Africa, Middle East and Eastern Europe where consolidated beer volume declined by 1.3% organically. Beer volume remained under pressure impacted by challenging macro dynamics and low oil prices. Positive volume in Nigeria, Ethiopia and export was more than offset by weaker volume in Russia, DRC and Egypt. Revenue per hectoliter was up 5.1% and in Nigeria volume grew mid-single digit and was flat in the second half. Life and Goldberg performance was strong benefiting from the continued outperformance of the value for money and mainstream segments. Regional operating profit beia was down 21.2% negatively impacted by currency volatility, commodity prices and rising cost inflation. The Americas consolidated beer volume was up 3.7% organically driven by strong growth in Mexico. This more than offset weaker volume in Brazil and in the US. Revenue per hectolitre was up 3.3% organically. And in Mexico high single-digit volume growth was driven by the favorable consumer environment, effective marketing programs and sales execution. In Brazil, volume declined mid-single digit due to the weak macroeconomic climate and tough trading conditions. Our premiumization focus continued and Heineken volume was up double digit crossing the 2 million hectolitres mark. In the US, volume and depletions were slightly negative. Our Mexican brands continued to be the key growth drivers, with Tecate and Dos Equis outperforming the market. The Heineken brand depletions declined marginally. And overall the Americas delivered strong organic operating profit beia growth up 23.5%. Asia Pacific continued to show excellent momentum, with consolidated beer volume up 17.9% organically. Vietnam, Cambodia and Indonesia all delivered double-digit volume growth. The regional revenue per hectoliter was down 3.7% adversely impacted by negative country mix with underlying price mix flat. In Vietnam, volume grew double-digit driven by strong performance from the Tiger brand. Portfolio strategy, effective marketing and sales execution also contributed. The region delivered strong organic profit beia growth of 26.5% against again driven by the strong performance in Vietnam, Cambodia and Indonesia. In Europe, consolidated beer volume was up 4.7%, growth was driven by our premium portfolio led by the Heineken brand, which was up 4.3%. Revenue per hectoliter was up 1.4% despite deflationary and off-trade pricing pressure. In the UK, volume grew low single digit driven by off-trade performance. Our pubs business delivered good results. In France, volume was mid-single digit, and in Spain and Poland volume up low single digits. In the Netherlands, volume was flat given less participation in off-premise promotions. Regional operating profit beia was up 7.1% organically due to disciplined cost management, innovation and successful premiumization. Turning now to Slide 5, in 2016 Heineken premium volume was up 3.7% organically with growth accelerating in the second half to 4.7%. Notably we saw success across all regions for the full year. There was double-digit growth in Brazil, South Africa, Mexico, UK, and Romania. A number of other important markets including France, China, Italy and Spain delivered also good growth. Growth in these markets more than offset weaker volume developments in Russia, the US, Thailand and Greece. The Heineken brand equity was supported again by the successful campaign around the UEFA Champions League sponsorship. I'm also delighted to say that we recently extended our sponsorship until 2021. We also saw continued success with the Cities, product stories and music platforms. Our new partnership with Formula 1 provides an opportunity to access new consumers globally, and allows us to launch a very powerful responsible drinking campaign, when you drive never drink. In 2016, we launched some exciting premium innovations with Heineken, including the 'wild lager' beers H41 and H71, launched in a selected number of European markets, not in the UK yet. Heineken Light was launched in Ireland and New Zealand, piloted in Greece and Switzerland and introduced in Australia as Heineken 3. Complementing our truly global flagship Heineken brand, we have an extensive and strong portfolio of international brands. These brands have high potential to travel across geographies, Affligem, Sol Premium, Lagunitas, Red Stripe, Tecate and Tiger all grew volume double-digit. Also Desperados, Krušovice, and Amstel showed good growth. We also remain very excited about Cider, which I will talk a little more about shortly. Now turning to Slide 6, innovation is now firmly embedded in our strategy and how we think at Heineken. In 2016, innovation contributed €2.2 billion of revenue, with the innovation rate at 10.6%. Our innovation focus remains set around four key themes, which I am sure you are now familiar with; leading innovation in cider, capturing the low and no alcohol opportunity, satisfying the need for craft and variety beers and innovating around draught systems. We continue to lead in the cider category, which delivered mid-single-digit volume growth reaching a total of 4.8 million hectolitres in 2016. In the UK, we continued to gain share thanks to Strongbow Dark Fruit, Strongbow Cloudy Apple and Old Mout. Outside the UK, cider volume was up double-digit. In Africa, Middle East and Eastern Europe, South Africa and Russia saw positive cider performance. Mexico was the main contributor to cider growth in the Americas. Finally in Asia Pacific, Strongbow, which is now available in five markets showed encouraging early signs. We continued to see great potential in the low and no alcohol category, where volume reached 12.3 million hectolitres in 2016. These products directly address the theme of moderations and are creating new drinking occasions for our brands. Within craft and variety beers, we continued to leverage the strength of our brand portfolio, Heineken H41 and H71, just two examples of innovation in these segments. Mort Subite from Belgium, Birra Moretti Regionali from Italy, and Zywiec from Poland variants were also successful. At the same time, Lagunitas is starting its international journey and currently being rolled out in a number of markets, Mexico, France, Netherlands, and the UK out of my head. We continued to innovate around draught. The Sub, our-at-home draught beer system continues to show positive trends. Also Brew Lock, our innovative on premise dispense system is also showing good growth. This is the last year we will be providing an innovation rate. We started sharing this in 2011 to ensure that innovation became more and more a focus at Heineken. Since then it has become embedded in our strategy and in how we think across all levels of the organization. Although our focus will clearly continue, we will now be updating you in a different way. Going forward, we will provide total consolidated volume for low and no-alcohol as well as for Cider. At the same time, we will of course continue to share color on what we are doing in craft and variety and draught innovations, as both are equally important themes. Before handing over to you Laurence, I would like to spend some time talking about our recent potential transaction in Brazil and in the UK. Then you move onto Slide 7, earlier this week we announced the acquisition of Kirin operations in Brazil. This transforms our existing business across Brazil, extending our footprint and increasing scale and the platform for further premiumization. Following the transaction, Heineken will become the second largest beer company in the country, consistent with our strategy of being number one or number two in a market where we operate a full brand portfolio. This will also position us well in the market, which is important for beer and also has a strong future growth potential still. The total consideration to be paid for the transaction is €664 million, corresponding to an estimated enterprise value of €1.025 billion. The deal will be dilutive to Heineken margin in 2017 and the transaction is expected to close in the first half of this year. Turning to Slide 8, we also announced in December the acquisition of Punch A. Given UK takeover panel rules I am restricted in how much I can say, but I would like to make a few comments. Following a recommended cash offer from Punch Taverns plc by Vine Acquisitions Limited, we announced a back-to-back deal with Vine to acquire the Punch Securitisation A. This Securitisation comprises around 1900 pubs. Last Friday, we were pleased that Punch shareholders voted in favor of this scheme at the court meeting, and the special resolution proposed at the general meeting was passed. Turning to Slide 9, that slide provides some further color on the rationale for this transaction. We already have a pub estate of 1049 leased and tenanted pubs through Star Pubs & Bars in the UK. This generates an attractive return and is strategically important. The [home trade] in the UK is an important sizeable part of the UK beer market and the UK is our largest market in Europe. We believe there is a compelling strategic rationale to enlarge our existing pubs business with this complementary estate. We also believe there is an opportunity to realize increased potential from the Punch A estate through investments and attracting and retaining the best licensees. Based on the financials, we expect the transactions to be earnings enhancing in its first full year. All of this is, of course, subject to customary regulatory approval. With that, I would like to hand over to Laurence, who will walk you through the financials.
Laurence Debroux: Thank you, Jean-Francois and good morning everyone. So turning now to Slide 10, so back to 2016, revenue reached €20.8 billion and the 4.8% organic increase is the result of positive volume momentum, 2.8%, combined with 2.2% growth in revenue per hectoliter, and this reflects a very good first half, boosted by Easter timing and a strong Vietnamese and Chinese New Year, and a solid second half. Operating profit beia was up 9.9% organically, reflecting growth in revenues and also good achievement on costs. I will come back to that one. Operating margin increased by 54 basis points, and naturally even more if we exclude the impacts of the accounting adjustment in the UK in the second half. So a few words on that one. As mentioned earlier by Jean-Francois, in the second half of 2016, we adjusted the way the UK accounts for the cost of products both for retail. More precisely, part of this cost was previously netted in revenue and raw material, which was not the correct accounting treatment. The consequence of the denetting is more revenue on one hand and more costs on the other hand, but no impact on operating profit and mechanically a lower operating margin. So to cut a long story short, excluding this impact on the like [Indiscernible] operating margin beia would have been even higher at 61 basis points. Moving now to net profit beia reached €2.1 billion, up 8.5% organically. So slightly less growth than in the operating profit. The difference being the impact of devaluated currencies on payables, which is accounted for other net financing expense. And in 2016, as anticipated we have no significant benefit from the refinancing of older expensive debt something that had provided us with extra leverage on the bottom line over the past three years. There is a difference of €558 million between net profit beia and reported net profit relates to amortization and acquisition, of course, of acquisition related intangible assets, much aligned with 2015 and to exceptional items, the most significant being an nontax deductible impairment of €286 million on assets in the DRC. Also as you will remember, in 2015, we had in reported net profit an exceptional gain of €379 million from the sale of Empaque, a non-core Mexican business. And to finish with the P&L, diluted EPS beia of €3.68 was 2.9% higher than in 2015. Free operating cash flow was up 4.8% and our net debt to EBITDA ratio ended up at 2.3 times right in line with our policy to be at 2.5 times or below. Moving to Slide 11, and to the 4.8% organic growth in revenue. In 2016, consolidation added €441 million, or 2.2% to that number, mainly driven in order of size by incremental revenue from South Africa, Malaysia, Slovenia and Jamaica. But what is striking here is the negative impact of currency reducing revenue by more than €1 billion or 5.6% more precisely, and that was mainly driven by the Mexican peso and the Nigerian Naira, and to a lesser extent by other currencies such as the British pound, the Russian ruble and Egyptian pound. Turning to Slide 12, operating profit beia, so it reached €3.5 billion. Consolidation changes added €40 million or 1.2% to the growth and currency impact was negative, reducing operating profit by €216 million or 6.4%. Again with the Mexican peso by far the most impactful, followed by the Nigerian Naira and the British pound. Excluding consolidation changes in currency, operating profit was up by an impressive 9.9% and this drove me to provide a few comments on costs. Looking first at marketing and advertising expenses, the organic increase was broadly in line with the increase in revenue with the marketing to revenue ratio of 13.6% in 2016 compared to 13.4% in 2015. This means that our performance was achieved while investing firmly behind our brands, including through our global platforms such as [UCL] and now Formula 1. Looking at other costs, on an organic basis, input costs, which is the sum of raw and packaging material cost, were up 10.8% growing more than revenue. This is a little bit due to mix, but this year predominantly transactional currency pressures in Mexico, Brazil and Nigeria. On the other hand, and still on an organic basis personal costs and logistic costs increased less than revenue due to tight cost control and repair and maintenance cost, as well as energy and water cost even decreased. So overall, the focus on cost is working and helped us to achieve this organic increase of 9.9% in operating profit. And this, in spite of the strong transactional currency headwind that we have to face in some of our largest emerging markets. As Jean-Francois already mentioned, on a regional basis, weaker performance in Africa, Middle East and eastern Europe was more than compensated by strong results in Asia-Pacific, the Americas and Europe. Slide 13 now walks us through the development in diluted EPS beia over the year. Out of the increase of 2.9% in EPS, 0.31 came from organic growth and 0.22 were taken away by transactional currency impact. The impact from consolidation was not material, and finally there was a small residual benefit of just 0.02 from 2015 share buyback. If we now look at free operating cash flow on slide 14. all in all, we continue to have very sound cash flow generation with the free operating cash flow for the year just under €1.8 billion. The increase versus ’15 was due to stronger cash flow generation from our operation, partly offset by less benefit from working capital, still positive but less benefit, and by a higher level of Capex. The main explanation for the lower benefit from changes in working capital was a number of one-offs in receivables, as well as less favorable movements in our payables due to the saving of Capex. Underlying working capital still healthy. Capex amounted to just under €1.8 billion, so a bit higher than last year and in-line with our guidance of being just below €2 billion. This represented 8.5% of revenues, and including significant investments in Mexico in Mexico and Brazil, Cambodia, Vietnam and China, but also Ethiopia and Ivory Coast. Our net debt to EBITDA ratio of 2.3 times compared to 2.4 times at the end of the previous year continues to give us margin to maneuver, whether organically or through value creating M&A. In conclusion, and as you have seen in today's press release, we expect economic conditions to remain volatile in 2017, and actually we have already assumed that headwinds from currency this year would be pretty much comparable to the one that we had to face in 2016. With this, we do expect further organic revenue and profit growth in 2017, and excluding major unforeseen macroeconomic and political developments, we also expect continued operating margin expansion in line with the medium-term guidance of a year-on-year improvement of around 40 basis points. That does not yet take into account the 2017 impact of our proposed acquisition in the UK and Brazil. This impact will obviously depend on a number of factors including potential closing days, purchase accounting and we will of course update you as appropriate during the year. Just quickly touching on some of the more technical elements in the guidance for '17. We expect an average interest rate broadly in line with '16 and as I said before, we have not completed most of the refinancing of our old and more expensive debt. So, therefore no more positive leverage to be expected from this. And as per the effective tax rate, it should be broadly in line with 2016. Finally, CapEx should be your gain slightly zero to €1 million for the year. With that, I'd like to hand back to the operator and then we will be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] We'll now take our first question from Olivier Nicolai from Morgan Stanley. Please go ahead, your line is open.
Olivier Nicolai: Hi, good morning, Jean-Francois, Laurence and Sonya, thanks for taking the question. I got three questions, please. First on Mexico. We had a really strong year in 2016. How should we think about around '17 in terms of volumes and cost price based considering about the inflation that's picking up and the consumer contingency is coming down? Are you already seeing a slowdown actually year-to-date? Second question for Laurence. Could you perhaps comment on the effects hedges that you have in place in Mexico for the Mexican Peso? And are you covered for 2017 and should we expect any negative transactional effects to up in 2017 or is it going to be more 2018 story. And lastly, you mentioned about your net debt EBITDA is 2.3 times in 2016, what will it be past the acquisition in Brazil and the UK, please. Thank you.
Jean-Francois van Boxmeer: On Mexico demand, it's just we don’t do forecast. As you know, I'm not going to start today but what you have been observing in the last year is that obviously was a lower Peso. The older remittances from Mexicans to Mexico in Dollars translated in a higher Peso amount. And that certainly to a certain extent has boosted consumer demand in Mexico. Now, on the one hand this is a positive factor. For demand in Mexico, what is that will be continued is something which is you can't totally predict that but that is one element to look at it. And then the other element of our business is of course the export capacity from Mexico to the US, which is also in a question mark and again there is a lot of speculation and not legislation. So, it's very difficult to predict but we have to look at the fundamentals of our business in Mexico and look at the fact that we have put substantial efforts in developing the franchise of the Tecate brand, also beyond its stronghold of Northern Mexico and that we do that with success. Then the Heineken brand is developing well in Mexico. That the Dos Equis brand franchise is developing well in Mexico. And that we see potential for craft beer or beat at a smaller level in Mexico and that we are seeing that with Lagunitas export into Mexico, starting to see it's bigness over there. It's also related to the fact that we work also in Northern Mexico with Coors Light in the competitive mix and that also does its job to sustain our business in Mexico. That's about the fundamentals I would say.
Laurence Debroux: Now, moving to the transactional foreign exchange impact. As you know, we edge -- with hedging on the transactional and only on the transactional impact, in line with our policy, we are at the beginning of the year hedged on about 76% over the expected need for non-Mexican currency in Mexico. So, there we feel some part of these that these open, but the majority of it has been hedged already. And then the net debts will be delay, it is too early to comment on that after the acquisition. What I can tell you is that we have this policy and the guidance to be or to come back within a reasonable time to 2.5 ratio and that we'll remain.
Olivier Nicolai: Thank you, very much.
Operator: We will now take our next question from Fernando Ferreira from Bank of America. Please go ahead, your line is open.
Fernando Ferreira: Thank you, good morning. Thanks for the questions. I have three questions, please. First two ones on Vietnam. First one, is this the year that we should expect volume growth to start normalizing after the very strong 2016. Second question, well, you had mentioned that you probably could not participate on the sale process right of Sabeco but the media continues to report your name as one of the parties looking at the assets or if you could please clarify if you would be able to beat for the asset or not. And also update on what stage the process is there, please. And then last question on Brazil. I understand it's very early days but if you could comment where do you see the bulk of the synergies coming from and how could you turn the profitability of the assets that you acquired back into positive territory. Thank you.
Jean-Francois van Boxmeer: For the Vietnam prediction on volumes, we don’t do that. We never do and give predictions also not on Vietnam. We have seen good growth coming out of Vietnam. It's sustained on our own work with Tiger and Larue and Heineken as a portfolio and how we do our execution in Vietnam and did has also to do with this tall economy in Vietnam. You are looking for macroeconomic turning points, are essentially for Vietnam linked. Its internal market is buoyant, it's very Vietnamese invest a lot in their internal market and it works quite well. It's also an export nation and so there reign in of world trade will have consequences for Vietnam but again that is pure speculation and its macroeconomics. And so far, Vietnam is a very strong performing economy and we drive partially and for a big part on that strong economy. What relates to Sabeco, we are not formally deprived from participating to any process when there is one? There is a lot of again speculation reports in the press. The only comments we have made was to say it might be doubtful that the Vietnamese government allows to for the creation of a player the size of our combined organization. The second comment we have made is Vietnam and in Sidel VBL is a joint venture between 60% Heineken and 40% Satra. Satra is a state company owned by public authorities. Very good partnership, it is being going on for 25 years, very successful but it brings also its own lots of complication. So, I'm not saying we don’t, neither say we will, I'm just flagging a number of perhaps caveats to Sabeco opportunity. But once more there is a lots of reports that it will go but still nothing is going. So, it's very much wait and see.
Laurence Debroux: And regarding Brazil. It's still early days, but and we do expect synergies on cost and significant synergies on cost. On production and logistics for sure also oncoming administrative expenses, we do expect synergy, but I would say also that is main synergy would be on gaining really a better presence in the North East and being able to pursue our strategy on the Heineken brand and on premium which have been very successful. For which, 2 million hectoliter this year in Brazil. And definitely, we were weaker in that part of the country where here in Brazil is more present. So, we are very much looking forward to the revenue synergies that will come from there as well.
Fernando Ferreira: Great. Thanks a lot for elements.
Jean-Francois van Boxmeer: Thank you.
Operator: Our next question comes from Sanjeet Aujla from Credit Suisse. Please go ahead, your line is open.
Sanjeet Aujla: Hi, thanks for the question. I appreciate the lack of topline outlook into 2017. But we're seeing a bit of a big inflection point on price mix into the second half of the year. Do you think that is at least sustainable into 2017? And then just back on Vietnam, can you just remind us how much of the growth you achieved this year was market share gains versus a broader strong market environment? Thanks.
Jean-Francois van Boxmeer: On the price mix. I will not give you any guidance on how the topline revenue and when that start the day. What I can say is that we have a strategy for building topline, we have several building blocks. And we try to have a better revenue per hectoliter, essentially by overinvesting in the higher end of our portfolio. Takes many phases. It's in the first phase and it will continue to be the Heineken brand. I mean, I will repeat it but if it were a business segment, it would be a certifier company. So, and it grows at a pace which is slightly higher than the average of the rest of our portfolio. But in addition to the Heineken brand, we continue to invest in premium brands that can travel like Tiger, more recently or Sol in its premium version Amstel which often we don’t talk about but also making appropriate but also more niche brand craft brands like Lagunitas on one hand or Affligem and Mort Subite out of Belgium. It's also pushing no and low alcohol varieties which most of the time do not carry necessarily a premium price but with the propositions have been in margins. And finally, Cider. And Cider is also for us a way of pushing our topline growth. So, if we are articulate all these Heineken Brazil or international brands across the very variety, no and low alcohol and Cider that all together is there to end up in our growth worldwide, also in Vietnam by the way. We don’t do all these five items at the same speed and pace across our geographies. But we always step into several of these five growth pillars to sustain our topline. And the rest, yes, we depend like everybody else on a lot of macroeconomic circumstances that we cannot foresee and predict. We just have to observe where the way it goes and where the way it's go and try to serve as harder that as possible. That is what I can say.
Laurence Debroux: And on your question on Vietnam in 2016, we did continue to increase market share in a market that were growing. And actually it is a virtuous circle because the part of the market that is growing is very health and the most is probably as is affordable premium segments that we are leading with Tiger. And then people don't buy segment, they buy brand, so we have these wonderful brand Tiger which is extremely healthy, strong double-digit in the market where you see that expansion to come. I remind you of numbers that we shared with the investors back in Vietnam this year which is we have about a million, there was about a million people in legal age of drinking, entering the market every year. I mean this is the market that still has ways to expand. So, I would say really, we’re just set full of our brand, driving the market share and also helping to drive the market.
Sanjeet Aujla: Thanks. Just a quick followup on Nigeria, volumes seem to have been relatively resilient in the context of the evaluation and significant price increases there. Can you just help us rationalize what you’re seeing the ground there?
Laurence Debroux: So, volume in Nigeria yes, we are positive and that's very good news because what that means is that when the mix is actually changing we do have the product that continue to please the consumer than that the consumer can afford. So what you have seen is definitely a switch in the mix with what was before considered mainstream being much more seen as premium and then with product, very good product that were more value becoming the new mainstream. Again, people don't drink segment, they drink brand. We have those brands and when you see brands like Life or Goldberg performing very well going double-digit in our portfolio. That is also what is very good for the volume. So that it is important because when the Nigerian consumer is able to trade up again, then we do have the full range of brand to accompany them in the journey. But today, yes, the volume progress shows that our portfolio of brand is really addressing not only the taste but also the affordability that is in Nigeria.
Jean-Francois van Boxmeer: Yes. That is true and in compliment I would add that what is difficult in Nigeria is, the foreign exchange is not the floating one. So you have to go with official devaluations and the availability of foreign exchange physically to drive your business. And pricing is the derivative of that. If you look at pricing in dollars or in Euro it has come down quite significantly over the last year. Hence of course, volumes stayed even worse in the slight plus but profitability was in the sharp down. So that there is nothing we can do. It still stays by and large positive, but by going too steep in price increase, we might overnight kill demand and enter into vicious circle of not being able to fit cost to cover our fixed cost. So it's navigation on site in such a very difficult circumstance of management there and we are watching it very closely is doing it utmost best and it's a balance between pricing so that you can stay on the long term sustainable with the profit making business. But short term that in absence of foreign exchange and purchasing power that is very much under pressure that expressed in dollar terms you sell your beer cheaper than you used to do two years ago. That is just a fact and so we are kind of balancing that in order to keep our business afloat, still make money and keep up with our market position in Nigeria. But I don't say that it's going to be any time or any soon much more easy tomorrow because a lot structurally depend on foreign exchange supply in the country and that has to do with oil price, but also the output of oil. Now it's going slowly in the right direction but still some way to go. But again, medium term I remain, we remain convinced that Nigeria is a land of more opportunities than problems, but from time in a while like now we have a setback which we manage.
Sanjeet Aujla: Many thanks.
Operator: Our next question comes from Simon Hales from Barclays. Please go ahead. Your line is open.
Simon Hales: Thank you and good morning everybody, couple of question please. Can I just go back to the guidance you gave us for this year and as a specific comment around unforeseen macro and political developments and as to what that actually means? I mean, things like trade tariffs that we might see in Mexico, it doesn't sound like it's particularly unforeseen given the comments we have had over the last six months the slowdown in the macro on the ground that was referenced earlier in Mexico as being well talked about. Are those sort of things factored into your guidance as it's stands for margin expansion or some of those factors still to you unforeseen? And then secondly, just going back to Nigeria and you talked about still making money Jean-Francois, are you still making money in the second half of the year where margin is still positive from an EBIT standpoint through the second half of last year? And finally just one quick one on CapEx, could you just talk a little bit about where the CapEx is going in F2017 and the slight step of what you are seeing there?
Jean-Francois van Boxmeer: I will take the first two, take Nigeria and the CapEx if you agree Debroux, you can prepare for that. Unforeseen is unforeseen and therefore we put unforeseen. We know the environment is volatile and we know that legislation might come up. Now there is a lot of speculation, there is no legislation. We continue to export our Heineken beer from the Netherlands zero tariffs to United States of America, everyday there is a ship sailing out of Rotterdam, the same goes with Nafka it's still in place. The [indiscernible] for in two years and lot of uncertainties around all these things, but the consequences are unknown. The unforeseen has to do with very large moves, which would take a very unreasonable character and which would not only affect our business, but of course the whole economy all together that's why we put that caution of unforeseen. The fact that we live in a volatile world I think we factored that in every since 2008. You all remember the financial crisis that has been, I think there is a world before 2008 and there is a world after 2008 and I would say that ever after 2008 business and our business in particular I can only speak of mine, but we kind of tend to look at reality macroeconomics, factor them in and factoring that they are volatile devoting some effort to understand where it could go. But at the same time I am being more reactive than always planning. So our strategy remains unchanged but we have to keep a certain degree of discretion to react on things that we cannot totally foresee. That having being said we have raised the rate, we continued our guidance because we gave the medium term guidance I think in 2014 and we said okay that's including 2017. So, we will continue to give and to try to go after that guidance, but again unforeseen is just unforeseen.
Laurence Debroux: As for the margin Nigeria, as you know we don't comment to that level of granularity. So I am not going to answer that question. But talking about the CapEx, well what you see in 2017 like in 2016 goes predominantly in emerging markets and in revenue enhancing CapEx strategy and I would say you can take Mexico, Vietnam and Ethiopia as some of the main places where it will go.
Simon Hales: Perfect. Thank you.
Operator: Our next question comes from Carl Walton from UBS. Please go ahead. Your line is open.
Carl Walton: Thanks and good morning everyone, couple of questions. One on Mexico margins, I know you don’t give granular color, but I guess it was a good improvement there despite transactional FX because of focus on cost and focus on mix. Is there any color you can give in terms of the further opportunities on both of those points or anything else going forward so aside from this transactional FX piece which you mentioned in the hedging? And then, in the U.S. one on Cider obviously Cider kind of slowed down in the wider category, but Heineken still gaining share. Just any comments on your thoughts of the Cider category development going forward in 2017, and also in the past there have been I think, a comment on the possibility of Cider overall, is there any color you would be willing to share around your thoughts of that turning profitable and time line of that kind of thing? Thank you.
Jean-Francois van Boxmeer: I will start with the second question on the Cider. Yes, we have been seeing significant slowdown of the category in the U.S. What explanation I was given is that a lot of these hard lemonades as they are called kind of have eaten into the share of Cider because it's a little bit overlapping in the sense that both drink categories are rather sweet and often offered with fruit varieties. And that makes that the category was under pressure as a category but that does not mean that we do not continue to believe that you can build a Cider business in the U.S. like we have one in the U.K., like we are building in South Africa, like you have one in New Zealand and Ireland. Like we built it in Central Europe, like we do it in Netherlands, it takes time. And so, a setback on the year will not change our views that we will continue to invest in developing our Cider business in the U.S. and what is important for us is to take share and which we do in the U.S. But, it remains a very small business. It's a seeding business. So it doesn't move the numbers a lot, but we are in the seeding phase as to one day such a business might become significant and take off. But, we are still far away from that business being that significant contributor. It's a seeding business in which we believe.
Laurence Debroux: And on your question on margin of Mexico. So yes, we don't comment in detail on margin by country. We did say that in the second half, for instance in Nigeria it was more impacted by devaluation also because it is something that you cannot cover in Nigeria and then we are partly hedged on transactional impact in Mexico even though hedging is pushing back in time, pushing your heads in time the impact of the transactional effect. What I would like to say on Mexican margin is that we are seeing an incredible work by the teams locally to continue to work on those margins, of course, through revenue management and then through the top line, but also through continuing. And we had told you that we were continuing our synergies from our operation in Mexico and that is a weird job that they continue to do on the year-on-year basis. And when you see what they had to compensate this year and how much they have been fighting and the successes they have had we are very proud of them.
Carl Walton: Great, thank you.
Operator: Our next question comes from Ed Mundy from Jefferies, please go ahead. Your line is open.
Edward Mundy: Good morning everyone. Thanks for taking the question. I have got three please. If I kind of given the guidance of 40 basis points of margin expansion for 2017 pre-acquisitions, I was wondering whether you could comment on periodic margins beyond that? Second of all, you are very kind, you’ve given some financial guidance for the Punch transaction, but not yet for the Kirin Brazil transaction. Are you able to comment on the broader term, how quickly you can turn up the loss to a profit? And then, the third question is on the low alcohol, which you have split up separately, it’s roughly about 5% of your volumes. What do you think is the potential size of the price here? Do you think you can get to 10% of your Brazil volumes?
Laurence Debroux: So, I will take the question on guidance. Yes, when we gave the guidance in 2014, we gave midterm so pretty much three years guidance. So you could say 2017 is the last year to that guidance. So we will update you on the further guidance later in the year and what shape it can take. Be rest assured that we remain committed to actually working on our business margin but also top line and driving it, continue to drive it throughout the world and then in order to reach, to enable our strategy and then to reach the margin expansion. And then, how quickly we can turn around in Brazil? We will definitely not update today on that. There are still a lot of things that we are working on. We said we would update later on our route to market, so there are a number of moving pieces here and we are working on this.
Jean-Francois van Boxmeer: And the low on alcohol, you are right 5% today it's difficult. We are not going to give a precise guidance on it because it's a thing that you have to build and it's evolving. We feel that there is demand in the world which is based on two motivations there; there are occasions in which you are looking for having the bite of an alcoholic drink because flavors are specifically better conserved in an alcoholic mix and so low alcohol drinks are in demand. And we have been working on them for quite a number of years here in Europe was the Radler, less so in the U.K. We tried the Radler, Foster Radler and it did not really work. But in the rest of Europe it has been a huge success. We have seen non-alcoholic beer a huge success in Spain. There it's close to 10% of the total beer market which is quite remarkable. And then, there is all to do because that country people love to go to the Tapas bar after work, but then they drive home. And in the Tapas bar you eat and you drink and then people prefer to have a non-alcoholic beer than having a carbonated sweet soft drink with their food. So there are a lot of these occasions. There is the ‘don't drink and drive’ and not all people want to drink water. So I think there are a lot of occasions in life as it is evolving where low and no alcohol products might be on the rise. It's very difficult even we cannot predict where it can go. But what we know is that there is a potential there and we take a ticket to be first row on the development of these products.
Edward Mundy: It looks like the majority of your local is based in the Europe at the moment, you’ve got Mac in Indonesia, but how do you think about the prospects for low non-alcohol beer in other EM, particularly Africa or in Latin?
Jean-Francois van Boxmeer: It takes many different phases, low and no alcohol and we try a lot of things out and it is very, regionally very dependent of which one of the reins will play out in Africa. In the no-alcohol we have the big segment called the malt based beverages and this is even, it's a big competitor to soft drinks because it's much more nutritious. And that's included in that large low and no alcohol business segment of us and the Maltinas, which are very popular in Nigeria can also be tried out in other African countries or Latin American countries. So there are a lot of product proposals under the umbrella of low and no alcohol and we look very much at locally -- and potential as how to develop it. It is not a global plan. It's a multi local approach, but with the over arching, logic is there are, there is, there are possibilities for us, for low and no malt based drinks and to develop, align into that and most of them bring in accretive margin development for our total business.
Edward Mundy: Thank you.
Operator: Our next question comes from Trevor Stirling from Bernstein, please go ahead. Your line is open.
Trevor Stirling: Good morning everybody. Three questions on my side as well. So, first to relate to pricing, in Nigeria I know you are taking price increases as partially offset the devaluation all your competitors following you in Nigeria and in Mexico you are the price follower is your competitor responding to the devaluation of the Mexican peso by taking prices up a little bit in Mexico?
Jean-Francois van Boxmeer: On the first Nigeria, the reply is what we observe is broadly yes. As a market leader it always goes with some delay. We are not always the market leader so I suppose we do the same in markets where we are the follower. So the reply is yes, there was a delay in Nigeria. One has to realize it's a matter of survival. You can go rapidly burst with the kind of inflation, monetary inflation or currency inflation that you have in Nigeria if you don't look out what’s your pricing. That's one. Mexico?
Laurence Debroux: Mexico, I would say the answer is in general yes as well timing might be different. So there is not necessarily alignment and timing between the competitors on that.
Trevor Stirling: Thank you very much and third question, final question, there was a little bit of a slowdown in growth in the Americas in the fourth quarter. Was that due to a substitution in Brazil or did they slowdown comes and arouse?
Jean-Francois van Boxmeer: Brazil.
Trevor Stirling: Brazil. Thank you very much.
Jean-Francois van Boxmeer: That's what we observed. Brazil mainstream not Heineken.
Laurence Debroux: Yes because Heineken is still flying.
Jean-Francois van Boxmeer: Heineken is still flying, it's bizarre but Heineken in the last quarter was absolutely flying. So it was totally counter cyclical to the mainstream markets.
Trevor Stirling: Thank you very much indeed Jean-Francois and Laurence.
Jean-Francois van Boxmeer: Thank you.
Operator: Our next question comes from Tristan van Strien from Deutsche Bank. Please go ahead. Your line is open.
Tristan van Strien: Good morning, couple of questions, please. Just in South Africa you have consolidated that this year and you are carrying a loss on that. At what point should we expect an inflection point of that loss, when do you think you will get into profitability? And then secondly, you are already in partnership with Molson Coors in Mexico and Canada. Can we expect or are you interested in picking up some of the Miller portfolio in markets like South Africa or Mexico or Panama for that matter?
Jean-Francois van Boxmeer: Yes. South Africa you want to say something.
Laurence Debroux: I think South Africa better. I haven't been there yet. It's one of the markets I haven't visited.
Jean-Francois van Boxmeer: Let's go to safari. No, no it's true. It's a business which we try to kind of under one single umbrella and absolute focus on beer to manage for growth and ultimately profit. I would say the structural problem of South Africa is to fill our production capacity that is installed near Johannesburg city bank. And that we do with the strategy we are most really pursuing which is an innovation strategy. It's not only based on beer we also developed Cider quite well and it is all going in the right direction, but we have sort of a leeway to go. Now whether that will work in 2017 in order to make really money is debatable. We don't think so. But we are confident that it is going or at least we are confident that we will get there because it's going in the right direction.
Tristan van Strien: What’s your capacity utilization currently at City bank?
Jean-Francois van Boxmeer: Do we say that? No. I don't feel that I should say it. Let's say you understand more than us. Yes, on the partnership the Miller portfolio, yes you are right, Molson Coors acquired the Miller brand now rights worldwide because it's reunited and in a number of countries we are working on having the Miller brand most of the time its form of Miller Genuine Draft, in our portfolio not everywhere but in some geographies. I don't know in which one we have been already out of the market and being public about it and I am looking at bar just nodding none. But we are working on that and because we have a longstanding partnership with Molson Coors as you know, we work together in Ireland for a long time where we were doing the Coors brand, Coors Light brand for quite a number of years and as well as we always our brand portfolio in Canada within joint venture with the Molson Coors organization. We have the license for Coors Light in Mexico since number of years. You might expect some more developments to come hand-in-hand with Molson Coors in the number of key markets. You can expect they are competing with ABI of course. I mean this is logic.
Tristan van Strien: Thank you.
Operator: Our next question comes from Richard Withagen from Kepler Cheuvreux. Please go ahead. Your line is open.
Richard Withagen: Yes. Good morning. Thanks for taking the question. First of all, in Mexican we know your commercial strategy in the longer term. But are you making any tactical changes to your commercial strategy in 2017 given how the consumer environment totally becoming more challenging? Second question I have is on Kirin in Brazil. Are there any material tax liabilities that you will also require alongside the business or any other material provisions? And then thirdly, can you talk about your plans to launch an alcohol free version of the Heineken brand and in how many markets do you plan to introduce the beer?
Laurence Debroux: So maybe talking about the tax liabilities in Brazil, I would say that Brazil from a litigation and tax point of view is always a very lively market. So it's not necessarily that the amount are huge, but you have always a number of things and that obviously when you inherit the business and then it's a matter of contract whether you are taking the risk or whether the seller is taking the risk and it's the matter of balancing in the negotiation. But definitely part of, I would say the way of doing business and the cost of doing business in Brazil is to be able to handle a number of litigation whether it's labor litigation or other types of litigation and tax claim. So I mean Kirin is normal business for Brazil and then we have a very good team there that has been in place for a while and is definitely used to dealing with the specificity of Brazil. So, nothing particular that we need to signal on that at this stage.
Jean-Francois van Boxmeer: Then for the non-alcohol, Heineken will be launched in the Netherlands I think in March and we will rollout it quite rapidly in the rest of Europe because our infrastructure for producing Heineken is very European. So you might expect us doing that across Europe pretty quickly in the first stage. We will see for the rest of the world later on. We will give it a try in Europe with the Heineken brand.
Richard Withagen: And on Mexico?
Jean-Francois van Boxmeer: Can you repeat, we were catched in an internal debate on mute whether we had published something about Miller or not. Sorry about that. If you can repeat it.
Richard Withagen: Yes. Sure. No worries. Yes, on Mexico I mean, I said we know your medium term or long term commercial strategy, but are you making any tactical changes to your commercial strategy in 2017 given the more challenging consumer environment?
Laurence Debroux: I mean it’s tactical, it just been, they’re always tactical, it’s just been there, but there is nothing significant that we have to say and definitely not linked to anything that we would be seeing in the environment. So we are just on tactical the time and strategy remains the same.
Jean-Francois van Boxmeer: We appointed the best local management to carry out the best local tactics as they deem see fit and I totally trust them. They will do the right thing.
Richard Withagen: Terrific, thank you.
Jean-Francois van Boxmeer: Thank you.
Operator: Our next question comes from Matthew Webb from Macquarie, please go ahead. Your line is open.
Matthew Webb: Thanks very much. Just three questions from me please. The first one, would I be right in assuming that the guidance that you have given on the negative currency impact in 2017 so saying that it will be comparable to 2016 includes both the translation impact and the transaction impact. And if so, it would be great if you could quantify that seeing you have guided to 70 million Euro hit operating profit from the translation effect. It would be great to have the transaction effect that you expect as well? And then, the second question I was just wondering this is the long shot, but would you be willing to disclose roughly the currency rates which you’ve hedged in Mexico and therefore how much protection that's giving you from the recent witness of the pace so and how much of that is delayed into 2018? And then third, I was wondering what you think has been the main driver of the margin expansion in Mexico in 2016, was it more the positive operational leverage from the volume growth or is it more the efficiency savings or both comparably important? Thanks.
Laurence Debroux: So, it’s extremely politely asked, but it's a lot to ask. On the currency, so I will start with the currency. So no, we don't disclose the hedging. The guidance that we provide is the guidance on margin. So yes, it does take on-board what we expect in terms of transactional and translational impact on the margin. Now what we give later and then we say you can expect the same type of impact that we had this year and of course we don't give you the transactional impact. We give you the translational impact that you can read later from our tables which is above 1 billion on revenue and which is above 100 million in operating profit. What we give a bit later as you know is mainly calculation based on spot rate so that is not guidance. That's mainly your calculations where you can actually look in your model where you feel that works. But really, as the guidance on margin takes on board what we expect on currency and we have taken a number of assumptions on currency for instance, yes we have taken the assumption that at some point Nigerian Naira is bound to have a new devaluation that we have taken on board. And giving you currency by currency we are not going to do it either for our assumptions nor for hedging, we prefer to actually group it in the impact that it would have globally on our business.
Matthew Webb: And then, just on the point about the Mexican margin what's been the biggest drive for this year do you think, more than operational leverage or the efficiency savings?
Jean-Francois van Boxmeer: No, we don't.
Laurence Debroux: We don’t provide Mexican margin but that means…
Jean-Francois van Boxmeer: It's all of it. It's mixed pricing, continued efficiencies, but it’s everything, but I’m not going to detail that. That's very competitive information.
Matthew Webb: Okay. Fair enough. Thanks very much.
Operator: Our next question comes from Andrea Pistacchi from Citi, please go ahead. Your line is open.
Andrea Pistacchi: Yes, good morning. Three specific questions please from me. First on, are you assuming in your margin an FX guidance some further devaluation of the Naira? Secondly on input costs, I think on a per hectoliter basis there were up 8% in 2016 largely due to FX. Now with the transactional FX pressures continuing into 2017, should we expect similar or more than that on input costs? And then, if you could just provide a bit of color please on a couple of your medium size markets in Africa which have been difficult recently Egypt DRC, is there any improvement there? Thank you.
Laurence Debroux: So, I will take the first two questions. So yes, we do expect, I’ve mentioned further devaluation of the Naira, actually it's not that we expect or don't expect but when you see the discrepancy between the official rates and with the rate that you hear from the panel market usually it ends up at some point in devaluation. So this is why we have taken that kind of assumption in our internal plans and in our margin guidance. In terms of input cost, part of that transactional FX can be hedged and then we are not guiding on input cost next year. What I can tell you is that in terms of input cost our procurement teams are at work to try and mitigate as much as we can from whatever headwind we will have from currencies by better negotiation and by improving the underlying price of our input.
Jean-Francois van Boxmeer: And specifically on your two questions yes for sure DRC and Egypt are two difficult markets. Now DRC improved quite a bit in the second half. It was still negative, but it was just to give you an idea. It was 6% in first half and 3% in the second half whatever the significant I don't know. Management is working hard to try to turn around this company. It's essentially a macroeconomic and political problem in the DRC, it is not a problem which is due to anything that is going the wrong side on our -- specific how we run the company. But it's a terrible country at the moment. It's been a terrible country for the number of years. Now on the other side we continue for that specific country to look at the potential on the longer side, 60 million inhabitants you tell yourself one day it might take off. We have been there since 1935 so we don't feel quite comfortable to leave a country, we operate a beer portfolio, we also have a coca-cola franchise. But yes it's tough and I don't think 2017 is going to be much better than 2016 what so, we keep it as an option. Egypt is a different story. We were hurt by a very big devaluation as you know, onetime devaluation of 50% of the currency. It's tough but okay. The first half had really a very big downside in volume, we recovered. It's still negative in the second half certainly for beer. But bear in mind that we also have a wine business and we also have a non-alcoholic business and the non-alcoholic business is doing quite well. The beer business and alcoholic business is doing less and it has a lot to do also with the absence of influx of tourism. The liquidity is back. The liquidity of foreign exchange is back in the market. So we unlike Nigeria where it's very difficult to find, we have to fight to find the foreign exchange to keep our business running. This is not the case in Egypt. One is also to realize that in Egypt we export, so we have our own currency results as we export Malt. We have a big malting business, malt, Barley is grown in Upper Egypt. It's malted by ourselves in our own blends and exported to other parts of Middle East and Africa and is generating a part of the dollars we need. So, that is for us not a problem. And yes, after the currency the evaluation of Coors and there was a VAT increase. You have to adapt and when you feel they do have to adapt structurally your volumes will tank for a while, that we remain on the medium term. Optimistic, we have a strong business, well managed, good portfolio and diverse portfolio, alcohol, non-alcohol, and we will weather the crisis.
Andrea Pistacchi: Great, very helpful. Thank you.
Operator: Our next question comes from Alicia Forry from Liberum. Please go ahead, your line is open.
Alicia Forry: Thanks. Just three questions, please. The first one, I well, so things get a little more detail on the US business performance. So, you say that volumes are slightly down there and within that the Heineken portfolio is marginally down. Mexican imports are up sort of mid-single digits I guess in aggregate. Given the significant weight of those Mexican imports in the US volumes, there must be something else there that is really underperforming to take the whole US business into negative territory. Can you clarify where that is coming from, I know you mentioned weakness inside of that, are you seeing that's too small to move the needle. So, maybe just a discussion on that US business. And then secondly, China. I realize it's a very tiny part of your group but it has been a pretty strong premium market for beer. So, I'm surprised that the Heineken volume was down in the second half, perhaps you can explain what's happening there. And finally, interest rates. Can you tell us what interest rates are looking like as you've been exploring financing for the Brazil and UK deals with interest rates rising? Are you seeing higher rates? Thank you.
Laurence Debroux: On the US, I think you try to reconstruct, the best thing is to look at the public available data, the business with the Heineken franchises is going slightly down. It's essentially Heineken Light which is in decrease. It's very hard to sustain Heineken Light because it is only 6% of the total franchise. So, you were always lagging behind and we see or saw that the whole light segment in the US is in sharp decrease. So, that's one explanation. Second explanation. It has the light same reasoning but we don’t put a lot of efforts any more behind that, on the light brand franchise, which continues to have sales but they are decreasing. You point at yourself how to Ciders, the Newcastle Brown Ale is also underperforming. So, that all added to the picture. And on the other hand you have Dos Equis is still growing and Tecate it's growing even strong or so. It's a mixed picture. Overall, we're doing okay in the United States. We derive a lot more profitability partly to do that we are more efficient organization today and partly also because we benefit from a strong odor. So, all-in-all, the US is performing as a business unit quite well. And then finally, in the US and totally unrelated with Hieneken USA because there are no managerial links. Our joint venture with Lagunitas is doing also strongly. So, we remain optimistic and confident in the US. Now, when you now look into China, I don’t think it is going down, it was up 9% in first half, 10% in second half, so it's quite sustained. So, I mean, that is what I can see out of the numbers. And then what I have to say about China, the picture is a bit blurred because we have a lot of parallel import in China. So, a lot of beers that come, Heineken beer, we are not the only brand and stuff from that. So, it's not fake Heineken beer, its real Heineken beer that comes mainly through diverse exports organization and European countries, because you have a lot of traders who are taking when Heineken is sold in Europe on the promotion. Some containers are kind of sent to China. It's very difficult to control because we live in a free trade and China has no import barriers. And so, if we would have an estimation of that, the growth rate in China would even be higher. So, we're quite satisfied in on how the brand develops in China. Though I have to say it remains a small business and we remain a very minor player in China and we are totally super premium with the Hieneken brand in China. But it's a promise for the future. So, again, you have to see as China is a little bit like Cider in the US, it's a seeding business.
Laurence Debroux: And on your question on the rate. I'm not going to comment on financing on any proposed or prudential acquisition, I'm just going to give direct you to the issues of bond that we have in 2016, where you see that we issued the 800 million up to 1% rate, beginning of the year, early in the year. And later in the year, we did another 500 million, closer to 1.4% which is still extremely low actually in absolute terms. So, definitely rates have been increasing. But we are still in very affordable and cheap waters.
Operator: We will take our next question, it comes from Andrew Holland from Societe Generale. Please go ahead, your line is open.
Andrew Holland: Yes, hi. We hardly mentioned Europe on the call so far. So, I thought I'd lob one in on that. I just wondered what you would say is the reason for a recently sustained improvement across Europe which has been running now for maybe three or four years. Is it fair to start talking about structural stability or even improvement in Europe, compared to years of structural decline? And if so, what would you put that down to? And then secondly, could you also just give us an idea what's happened in India, whether you've been effected by demonetization and whether you see any imminent changes in either management or shareholdings in that business?
Jean-Francois van Boxmeer: Starting with Europe. You're absolutely right to point out that it's now a number of years where we have been able to grow our business again. The fact that Europe has been declining for so many years, had always and I've been always very clear about, the major factor is demographics. The sequence generation after the baby boomers were just less numbers between 15% and 20%. And even if beer is a sparkler, it has used to be, UN just have beer drinkers because you drink a lot of beer when you're young. I between your legal drinking age 35, this is where it peaks. So, that structural reason makes for Europe not to have been able to grow since 15, 20 years. So, the baby boomers are fading out of the market and between the X to Y in the millennials, you see a much more stability and even slight increase in many countries. So, I think the bulk of the demographic pressure weighing on the total beer market is slowly fading out now. On the other hand, industry in our own hands, it's we have had periods and certainly in the beginning of the 2000s, and you remember that, we have been devoting a lot of attention let's say between 2003 and 2010 into restructuring our network in Europe. We have been closing down 46 breweries and malteries across Europe. And if I consider Europe as the European Union including the UK, and including all the Central Eastern European countries of the EU. But we have been optimizing the network and it was painful and it was very costly as you remember. And when you do that, it's very difficult and quasi impossible that people work end on the heavy restructuring, heavy lifting and restructuring and at the same time trying to build topline. Now, we when we were more or less done with our restructuring and bear in mind our European network has practically no overcapacity, the only place where we keep overactive capacity structurally is the Netherlands because it's with a high breath of Rotterdam, our kind of flexible production point. But all the other countries have been pretty optimized. Nobody is kind of displaying overcapacity in Europe. So, that provides already in itself for structural better margins, the capacity utilizations that we benefit from, that's one. But then since, let's say five years, we started ago, we started to take the innovation rates as a tool and a measurement to build the topline again. And innovation took many phases and I alluded to that in previous interventions. Already it's about the Heineken brand, other premium brands is about Craft and variety, no and low alcohol and about Cider. But it's about all of these together, a lot of initiatives in all countries in Europe, which have been contributing to put the topline again in the right direction. And you can only build it when you come with products that consumers like and you have to try, some don’t work. I said it, rather Foster didn’t work in the UK. So, you dump it, that it worked in other countries. You have to try something out and see if it sticks, and when it sticks you have a new business and you can grow that new business and that is the whole idea about innovation, was being disciplined in the fact that it has to be margin accretive. Because in Europe, our business have had the tendency of being commoditized with the off trade, in the mainstream lager segments. And so, it's very important for us to get out of it and so non and low alcohol craft beers and premium beers are of course a kind of a first line of attention for us to rebuild a topline in Europe. That's exactly what we do and if you sustain that based on the network that is more efficient, and has been restructured, then you have a virtuous circle. So, it's not a spectacular growth but it's a slow but steady growth. And then finally, and then I close because I want to be complete. Consumer confidence in Europe is not better also. We all remember the prices of 2008 that generated a number of years of really depressed consumer spending. We are in a much better territory overall. In Europe, you are seeing countries like Ireland, Spain, or Portugal, which have been rebounded spectacularly, as well as the UK by the way, through those years, France and Netherlands have been more resilient in terms of consumer demands. So, it's not everywhere in Europe the same thing. Greece is still very weak in the Union. So, there are a number of countries in Central Europe which are still under pressure, but overall I would say our policy and our strategy has paid out and we will continue to walk that path.
Laurence Debroux: On India, so in India they published their results, which has actually done nine months result a few days ago. And they have commented indeed that in the volume of the last quarter, was of Q3 volume were a minus -8. A large part of that decrease was due to demonetization. The impact on the nine months is -2% and which is ahead of the industry. So, you realize definitely outperformed, but demonetization have had an impact. Now, your question was on change in management that you deal. And I think it's very important to make a distinction between what can happen at shareholder level and what can impact one of the shareholders individually and up consequences of the Board of Directors of UBL and what is the management of UBL, which is the management of a listed company and I would say is going undisrupted as you can see for their performance on the market and continuing to serve the best interest of all shareholders of the company. So, would really make a difference between what's happening with what you read in the newspaper as we said the orders that the company has to and the shareholders have to obey at the level of the board and the shareholders and what's happening at the level of the management. So, no disruption of the management.
Jean-Francois van Boxmeer: Yes. I want to be crystal clear on that management is appointed by the board, and has the full competence of the board to carry these forward. That's one. Secondly, SEBI has issued a executive order to this mister Chairman of the Board out of his function. It's not the will of the shareholders to do it nor on board of directors, it is just a court order that have to be executed. It's for Dr. Mallya to react on that if he wants to have a stay on that position. It's entirely in his hands to go with these procedures. So, we just have to enact as it is. And as to the shareholder, there rapport between the two promoters as they are called in the core shareholding, that's Heineken and the group of Dr. Mallya, we still are in a joint venture agreement and even if the economic stake that we both hold in that venture, are an equal. That joint venture agreement still holds. And I have to say that over the last years and ever since we embarked on it in 2009, it always has been properly functioning venture between two shareholders. That's what I can factually say about UB.
Andrew Holland: Thank you. All very helpful.
Operator: We will now take our final question, it comes from Komal Dhillon from JPMorgan. Please go ahead, your line is open.
Komal Dhillon: Hi, good morning. Just a few questions back to the America's please and your significant margin improvement and organic EBIT growth there. Just here, you talked about positive effects transaction impact in the US which was quite material. Could you maybe give us some more color on what proportion of the profit growth in the region was driven by the US? And then also in relation to that, Mexico. So, you had previously said that you were expecting total synergies of €320 million between 2010 and '16. It looks like obviously you've surpassed that. Could you give us a little bit more color on where you are on that in that context? And then finally, on the interest guidance, you're talking about 3.1%, does that include Punch on a full-year basis, what would the impact of Punch be on your interest line, please. Thank you.
Laurence Debroux: So, no, the 3.1% is too early to include any impact from any acquisition, so that did not -- that is not included. Coming to your question on Mexico. Yes, we have given that number initially in 2015 we did say that we were still seeing a 100 million coming between '15 and '16 and then definitely we'll be delivering on that. And I would say we will deliver even beyond, but on that we don’t give a guidance anymore.
Jean-Francois van Boxmeer: Yes. We don’t publish the numbers by country. But everything which was promised in 2010 for realization of synergies have been realized and even dealed. That's the only thing I can say. So, it has been, if you were to post audit of that acquisition, it's a good one.
Komal Dhillon: And on the US transaction impact, benefit?
Jean-Francois van Boxmeer: The US transactional cost. Is it that you're --?
Laurence Debroux: We don’t write it down between sources. So, that’s initially a good year for the US.
Jean-Francois van Boxmeer: No. It's a good year for the US, we hedged the dollars in the transaction. Always 18 months forward, if I'm not mistaken.
Laurence Debroux: And then when but we're not giving the impact.
Jean-Francois van Boxmeer: We're not giving the impact but one can realize that in terms of in Euros the US is the only currency that contributed positively. So, that is correct to assume that we have had a positive tailwind from the US dollar, though in a hedged mechanism on the transactional volumes we have between the Netherlands and the US, all the rest are have been negative between the US and Mexico and the naira and the Egyptian pound have been -- and the British and the UK pound, they are always weighing in the opposite direction.
Komal Dhillon: Okay. That's very helpful, thank you.
Operator: That will complete today's question and answer session. I'll now turn the call back to your host for any additional or closing remarks.
Jean-Francois van Boxmeer: Our host. Thank you, operator for having handling the call and all those who have been listening to our call. So, I'd like to thank you all and obviously the team of investor relation are at your disposal for any clarifications you will have so. Please do contact Sonya and we will handle your questions if you still have clarifications to ask but. Again, thank you very much also in the name of Laurence for your kind attention this morning. Have a good day, bye-bye.
Operator: Thank you. That will conclude today's call. Thanks for your participation. Ladies and gentlemen, you may not disconnect.